Operator: Good day and welcome to the Lam Research Corporation March Quarter 2017 Conference Call. At this time, I would like to turn the conference over to Mr. Satya Kumar. Please go ahead, sir.
Satya Kumar: Thank you and good afternoon, everyone. Welcome to the Lam Research quarterly earnings conference call. With me today are Martin Anstice, President and Chief Executive Officer; and Doug Bettinger, Executive Vice President and Chief Financial Officer. During today’s call, we will share our outlook on the business environment, review our financial results for the March 2017 quarter, and our outlook for the June 2017 quarter. The press release detailing our financial results was distributed a little after 1:00 PM Pacific Time this afternoon. It can also be found on the Investor Relations section of the Company’s website along with the presentation slides that accompany today’s call. Today’s presentation and Q&A includes forward-looking statements that are subject to risks and uncertainties reflected in the risk factor disclosures of our SEC public filings. Please see accompanying slide in the presentation for additional information. Today’s discussion of our financial results will be presented on a non-GAAP financial basis unless otherwise specified. A detailed reconciliation between GAAP and non-GAAP results can be found in today’s earnings press release. This call is scheduled to last until 3:00 PM Pacific Time. And as always, we ask that you limit your questions to one per firm with a brief follow-up, so we can accommodate as many questions as possible. As a reminder, the replay of this call will be available later this afternoon on our website. With that, let me hand the call over to Martin.
Martin Anstice: Thank you all for joining us today for our March 2017 quarterly earnings call. Stating the obvious, we are extremely pleased with the performance of the company that we reported and guided today. As challenging as it is to scale our company from an average calendar ’16 quarterly output level by more than 40% which is the reality of our 2.4 billion recent quarter shipments. It is gratifying to see the results of our collective efforts. Our strategy of the developments of an increasingly critical and enabling products and services portfolio, our consistent execution across all functions of the company and last but not least the tremendous commitment of our employees and partners globally are all necessary components of a multi-year outperformance story. It is a privilege to lead this company and on behalf of the entire management team I would like to thank everybody that contributed, the very same people that are creating as we speak the next world of opportunity in our future. We delivered record financial results once again in the March quarter, with shipments and revenue above the midpoint of our guidance and non-GAAP EPS above the high-end of our guidance range. For all the reasons previously communicated and reinforced by our actual performance currently, we believe LAM is in an excellent position with our leadership and competency in etch, deposition, and clean product conservative to facilitate some of the most significant innovations in semiconductor device manufacturing for many years to come. Turning to the broader industry environment, as stated already the momentum of investment levels in the segments that we participate is net positive. Capacity addition and technology conversion trends appear rational and strategic, both elements leading to a strengthened outlook for the calendar year. Since our last earnings call, expectations for the year have improved. We are now guiding a first half shipment stronger than previously anticipated, with a second half now slightly more balanced than the no better than 55/45 reference of the last earnings call and the optimism that we have for sustainable technology demand trends is further strengthened by well publicized plans throughout the electronics ecosystem. In short, silicon continues to sit at the very center of long-term electronics technology and applications innovation. That is the fundamental opportunity for our industry and specifically for Lam Research. Market trends and our initial modeling indicates continued strength of WFE in 2018 also. Memory company cash flows, memory unit pricing and the implied commentary on supply and demand balance are broadly well analyzed and reported at this point. We have no incremental perspective to share at this time. Demand continues to be strong for NAND in the SSD and embedded markets driving increased spending activity for NAND in 2017. We expect total 3D NAND shipped capacity at year-end to represent slightly more than the 50% of the installed base with a balance of Greenfield and conversion investments this year. In DRAM, we continue to anticipate double-digit growth in equipment spending in calendar ’17 year-over-year, with investments being dominated by technology conversion. We now model a modest growth in foundry and logic spending combined as leading edge devices increasingly meet performance targets and adoption criteria for the broad range of advanced computation market needs. These additional investments are focused primarily at the 10-nanomter technology node this year. Overall, we believe calendar ’17 wafer fabrication equipment spending and to a greater extent our SAM and our own business levels are all tracking positively against previously stated expectation. The intended headlines today for the company are clear we hope. We continue to invest in the positioning of enabling technology, products and services with benchmark level R&D funding approaching two thirds of our overall operating expenses in support of our customers plans and to build sustainable value for Lam Research. We are actively working to enhance the competitive differentiation momentum of five years of profitable growth averaging an 18% revenue CAGR, with calendar ‘17 expected to be our most significant revenue, profit and cash generation growth year yet this decade. With the anticipated business plans of our customers, their equipment selections already made, and the continued operational execution standard of LAM, we have every confidence in our industry outperformance potential long term. We have singular focus on our corporate strategy and vision that we consider compelling for all stakeholders. Specifically, we believe that our intuitive focus on customer trust and a collaborative culture, a flexible business model, and a result to invest strategically in our long term success with a commitment to return excess cash to our shareholders all combine to create a rewarding opportunity. Last but not least, we believe that the secular demand trends and outlook for the world of technology and electronic applications are more compelling than ever with the silicon roadmap and the role of Lam Research front and center. With that let me turn the call over to Doug.
Doug Bettinger: Thanks Martin. Good afternoon everyone and thank you for joining us today for our March 2017 quarterly earnings call. The March quarter represented a solid start to the calendar year. We delivered record levels of shipments, revenue, gross margin dollars, operating income dollars, and earnings per share. Each of these metrics grew double digits quarter over quarter. Financial performance was above the midpoint of guidance for all metrics, with operating margin and earnings per share above the high-end of the range we provided to you last quarter. Shipments for the quarter were strong at $2.413 billion which was up 25% sequentially and again above the midpoint of the guided range. Memory shipments were very strong in the quarter, as customers continued their investments in three 3D NAND capacity. Our customers are investing in new 3D wafers, they're converting planar to 3D and they're also embarking on 3D technology conversions to increase layer count. NAND demand continues to be strong driven by growth in enterprise and client SSDs as well as mobile device density increases. The combined memory segment represented 73% of total system level shipments and that compares with 61% in the prior quarter. Memory shipments were weighted heavily towards - excuse me, the nonvolatile segment which represented 50% of shipments in the March quarter compared with 37% in the prior quarter. DRAM shipments grew 24% sequentially in dollar terms and made up 23% of system shipments. DRAM shipments comprise 24% of system shipments in the December quarter. We're seeing an uptick in DRAM spending in line with improving demand in content growth from areas such as smartphones and servers. DRAM spending is largely focused on conversions with the majority being conversions to the 1x nanometer node. The foundry segment was flattish sequentially in dollar terms accounting for 24% of system shipments. Foundry spending was a combination of leading-edge 10 nanometer capacity, initial 7 nanometer pilot investments as well as continued spending at 28 nanometer and above with the latter being primarily focused in China. And finally the logic and other segment contributed 3% of system shipments. Revenue came in at $2.154 billion in the March quarter, which was up roughly 14% from the December quarter. Gross margin for the period came in 46.1% above the midpoint of our guidance. And as I've shared with you before, our gross margins are a function of a number of factors such as overall business volumes, product mix and customer concentration, so you will see variability quarter to quarter. And I just like to remind you that our financial model is still the best way to think about our ongoing profitability performance. Operating expenses in the quarter grew as we knew they would to $414 million. This compares to $384 million in the December quarter. Operating expenses as a percent of revenue decreased to 19% compared to 20% in the prior quarter. And as Martin pointed out, the majority of our OpEx spending continues to be allocated to funding our critical R&D programs. Operating income in the March quarter came in at $578 million and that compares to $490 million in the prior quarter. Operating margin was 26.9%, above the high end of the guided range. The tax rate for the quarter was 12% compared with 15% last quarter. The tax rate in the March quarter was favorably impacted by the release of tax liabilities from the conclusion of certain tax matters. Additionally, we had a reserve release related to the Novellus acquisition that is included in the GAAP results. The tax rate in the low-to-mid teens for the remainder of 2017 would be reasonable for you to use in your earnings models. Based on our share count of approximately 182 million shares, earnings per share for the March quarter totaled $2.80, above the guided range. This share count includes dilution on a non-GAAP basis from both the 2018 and 2041 convertible notes, with a total dilutive impact of about 16 million shares. And I’ll remind you that dilution schedules for the 2018 and 2041 convertible notes are available on our Investor Relations website for your reference. This quarter we returned $213 million to our shareholders, $73 million in dividend distributions and $140 million in share repurchases. We took delivery of 1.2 million shares at an average price of $114.30. We’ve completed approximately 20% of our current $1 billion share repurchase authorization and I'll let you know that we plan to initiate a $500 million accelerated share repurchase program in the June quarter. Now let me return to the balance sheet. We continue to have both a solid cash position and healthy cash generation. Cash and short-term investments including restricted cash increased modestly to $6.140 billion at the end of the quarter. Cash from operations was $423 million and that compares to $404 million in December. DSO held steady at 69 days in the March quarter, the same level as in December. Inventory turns were 4.2 which was up slightly from 4.1 in the prior quarter. This turns number is the highest we've achieved since we've combined LAM with Novellus. We exited the quarter with deferred revenues of $842 million, which was up from $673 million in December. This amount excludes $260 million in shipments to customers in Japan which will revenue in future quarters. These Japanese shipments are up from $129 million in the December quarter. And I'll just remind you that these Japanese shipments remain on our balance sheet as inventory carried at cost. And I'll just do the math for you. I'd like to point out that this combined deferred shipment bucket now stands at $1.1 billion and it grew 37% in the March quarter. I expect deferred revenue will grow again in the June quarter. Company noncash expenses for the quarter included the following; $35 million for equity comp, $38 million for amortization and $38 million for the depreciation. Capital expenditures were $44 million which was up from $37 million in the December quarter. We ended the quarter with approximately 8,600 regular full-time employees, which was up about 400 from the end of the December quarter. The increase in headcount was in support of our growing business levels primarily in the operations and field organizations. Additionally, we're bringing on board the talent required to execute on our forward looking R&D programs. Now looking ahead, I’d like to provide you our guidance - for non-GAAP guidance for the June quarter. We're expecting another record shipment of $2.500 billion plus or minus $100 million. We’re expecting record revenue of $2.300 billion plus or minus $100 million. We’re forecasting gross margin of 46%, plus or minus 1 percentage point and we're forecasting operating margins of 27% plus or minus 1 percentage point. And finally, we’re forecasting earnings per share of $3, plus or minus $0.12 based on a share count of approximately 180 million shares. We're obviously pleased with our performance this quarter and with the guidance we've just shared for the June quarter. Our business has never been stronger financially and we're continuing to execute extremely well. We're in the right place at the right time with the right products. We're partnering with our customers to enable the transitions happening within the industry today and we're making the investments required to sustain our business long term. Operator that concludes my prepared remarks, Martin and I would now like open up the call for questions.
Operator: [Operator Instructions] We’ll take our first question from Stephen Chin with UBS Bank.
Stephen Chin: My first question is just on your early outlook for the 2018 industry wafer fab equipment spending. Does 2018 appear to be another growth year for WFE because of indigenous China or is it just continued spend by incumbent than in foundry and memory logic? Thanks.
Martin Anstice: I think if I try to answer that definitively, I'd be a little bit misleading. I think that it’s still early days but based on the data points that we see today Stephen, we see sustainability in the context of the discipline of capital investments, the relative balance and stability between kind of supply and demand as best we can tell in the industry. And particularly on the last part of your question, the China story, the domestic China story at least we believe it's more of a calendar ’18 investment than calendar ’17. So really our comments are comments about discipline in capacity additions and what we think are pretty compelling and exciting, and sustainable long-term demand trends. At the end of the day if that plays out as it is more generally described today the investment will follow.
Stephen Chin: Just a quick follow-up on memory CapEx to sales trends. It sounds like memory fundamentals are healthy and historically we've seen memory industry have a CapEx to sales ratio of 30% to 35%. Do you think that CapEx to sales ratio is still a good sustainable scenario for the market or it's likely that CapEx to sales to go higher in light of the scalability issues with 3D NAND and slowing DRAM transition. Thanks.
Martin Anstice: Honestly Stephen, I've never been a really big fan of capital intensity ratios because I think it kind of whipsaws us around in terms of the analytics in any one quarter and the reality is the economics of an addition in new capacity is a very different economics than a conversion. We're pretty agnostic in the NAND space to how our customers execute those plans as we've previously described. And in terms of wafer starts, it looks to us like the investments of this year are kind of pretty balanced between Greenfield and conversion. So we look to the sustainability question more in terms of kind of balance of bit growth demand and our understanding of supply additions. And I think kind of the market generally is telling that story. So I don't really have anything to tell you that will cause the future to be very different from the past in terms of that particular metric.
Doug Bettinger: The only thing I’d like to point out Stephen is obviously, you know what memory revenue is likely to be this year, it's super strong, right. And so you’ve always have to think about affordability and clearly the levels that are going on today are affordable given how strong revenue and memory is.
Operator: Moving onto to our next question, our next question comes from Timothy Arcuri with Cowen & Company. Please go ahead.
Timothy Arcuri: I guess the first question, Doug is to you. Just looking out into the third calendar quarter, it looks like you guys said a little used words a little more balanced than what the 55/45 was, so maybe it sounds like second half shipments was down something like maybe 10% half on half. So that would sort of say 4.5 million shipments in the back half of the year. So maybe [indiscernible] in the third calendar quarter, is that like roughly the right math.
Doug Bettinger: Yeah, I mean we're - Tim, as you know we guide one quarter at time, we’ll give you a little bit of color which is what Martin did, when he said a little more balanced than the 55/45 and there's also reason I gave you the deferred revenue number, so you can think about how that likely transpires through the year. I'm not going to guide the third calendar quarter or the fourth, but I think we've given you enough to model it pretty closely.
Martin Anstice: Maybe just kind of two things to add quickly. I think our outlook today at least would cause us to believe that the December quarter is our weakest shipments quarter of the year, so that's kind of one extra data point. Another one is just kind of plain simple math of the disclosure that we've given, so the sum of our actual performance in our guidance today is the first half shipment of 4.9. You will I'm sure all make their own judgments about how much better the balance is than we previously described, but if you just use the math of 55/45 proxy than the shipments for the year is approximately $8.9 billion and in a ramping year the revenues lack the shipment. So I think those numbers are the ones that we're kind of intending you to embrace.
Timothy Arcuri: Then I just had a question about the deferred revenue balance, Doug, which you were talking about before. I mean, you guys are now up to about 1.7 months, if I look into June, you’re going to have about 1.7 months if you add Japan plus the deferred, you know, the regular balance. And it starts to look a little like the old Lam sort of in terms of backlog, not the new short lead time Lam. Is there a dynamic there, maybe you're shifting more new products or there's something happening in NAND and sort of - can you help us understand what sort of catch-up we should see because obviously you're going to revenue a lot more than you’ll ship during the back-half of the year.
Martin Anstice: Yeah, it's pretty simple to think through this Tim, when you've got shipments that are growing the way we have the last several quarters, revenue almost always lags at growth and shipments. When shipments level off or if they were to decline sequentially, revenue will catch up, it's just a natural progression of the timing between with something shows up at the customer's dock and it gets into acceptance and revenue.
Doug Bettinger: But specifically is your question, Tim, as more kind of headline for us in terms of the timelines for ship to install and therefore acceptance of revenues. In any one quarter and you don't get to see this unfortunately, but the specific scheduling of shipments in any one week or any one day of any one month, I mean, that kind of jerks the ratios around. So there's is no real story here in terms of kind of changing dynamic of timeline.
Operator: Our next question comes from Patrick Ho with Stifel Nicolaus. Please go ahead.
Patrick Ho: First off, in terms of your comments about a more balanced 2017 between first half and second half, is there any one specific market segment that's driving this better balance or is it a confluence of all the markets you mentioned in your prepared remarks?
Martin Anstice: Well maybe I’ll break that into two parts. So what changed for us between this earnings call and the last earnings call, if you look at kind of the expansion in the business that we've reported and we're anticipating approximately two-thirds of that is in NAND space and a third is in foundry logic. So that would at least tell you that - to the assumptions we made and disclosed previously there's no real headline in terms of DRAM. So that would be the first part of the maybe the most helpful part of answering you question. Maybe I'll stop there, did I get what you wanted?
Patrick Ho: Yes, actually that’s very helpful Martin. And my follow-up question maybe for Doug, in terms of the ramp up of shipments you talked about, you kept your supply chain at really optimal levels with inventory and even AR. What are some of I guess the nuances or the tricks that you’re keeping the supply chain as tight and efficient as it's been particularly as shipments continue to ramp up over these last few quarters?
Doug Bettinger: I mean it’s continued focus on just managing our remote factories, managing our own internal facilities, anticipating what we were going to need to be able to support at this point months and months ago and communicating that to our supply chain partners, Patrick. I mean it's operational excellence, the way Lam has always executed, just at a different scale here.
Martin Anstice: And just adding, I would say, honest hard work and when you hear us talk about our customer trust orientation, when you hear us talk about collaborative and partnership orientation that's pretty fundamental relative to sustaining your ability to perform and execute with the level of variability that is part of our business through the consolidation of our customers in the last several years. So our supply chain and our own factory and our field service engineers have done a tremendous job scaling in a very short period of time. And we continue to be proactive as proactive as we can be based on our visibility to ensure that investments are kind of made ahead of the need to support and service our customers. And competitively as best I can tell, we're doing just fine.
Operator: Our next question comes from Krish Sankar with Bank of America Merrill Lynch. Please go ahead.
Krish Sankar: I have two of them, the first one for Martin. You're NAND shipments are at record high and 3D NAND spending is robust. I'm just curious if the pricing for NAND rolls over, will the reality of economics weaken and the 3D NAND makers might scale back CapEx or do you think the demand is strong enough to continue investing in capacity. Then I have a follow up.
Martin Anstice: Yeah, I mean I think you know one of our headlines obviously is there's a long way to go with the NAND story. And as I know you understand extremely well the economics of that device architecture are one of the most relevant parts to the penetration of SSDs and so on and so forth. So, I mean there's a positive for every negative. We see a long way to go, we see compelling demand drivers for that architecture and as we've described a number of times particularly in critical applications, the high volume manufacturing position of Lam in that inflection is outstanding. That's the best word that I could use to describe the position that we worked hard to achieve and sustain. So there's a long way to go and best we can tell, commitment to technology and sustainability to investment will go up and down along the way for sure, but long term, it feels pretty good.
Krish Sankar: Then a follow-up for Doug, Doug you mentioned in your comments that the headcount addition for new product development. I’m kind of curious, is this because these new products you’re developing, you don't have the core competency within Lam i.e. full wafer deposition or etch-related technologies and is it why you're hiring or am I just reading too much into it.
Doug Bettinger: Yeah, you’re reading too much into Krish. I mean, any time you're doing more this year than you did last year you need more people to execute that, that's the statement around R&D. The biggest area of increase in headcount though Krish is, operations as well as the field who are shipping product real time and installing it at the customers facility.
Martin Anstice: And maybe just to add to that, let's kind of go back to disclosure of the last earnings call, because there's two stories in the company, one of them is the story of creating a road map of products and technology that was relevant for inflections anticipating how those inflections would have a concentration of spending for etch and deposition particularly. The second part of it was building the competitiveness of the portfolio we have so we get a bigger share of it and we gave two very important headlines in the last earnings call. One of them was the statement about how our foundry business grows and we characterized the growth in our foundry business year-over-year ’16, ’15 of 40% compared to a 25% WFE reference and we also stated that in NAND, we grow shipments by 80% year-over-year almost twice as the rate of WFE growth. So the headcount of the company is a lifecycle statement. So you add headcount when you prepare to do that and you add headcounts when you're in the middle of doing it and to some extent through the lifetime in an installed base business, the tail will demand at certain points, adding additional headcounts for many years to come and that's a natural commentary on the evolution of the company.
Krish Sankar: Got you. That’s very helpful. Thanks guys and great execution.
Operator: And we’ll move on to our next question. Our next question comes from Farhan Ahmad with Credit Suisse. Please go ahead.
Farhan Ahmad: Thanks for taking my question. I had a question in terms of the sustainability. The year on year growth that you’ve seen is quite impressive in the first half of this year. Now if I look back more recently since maybe 2010, the cyclicality of the business has gone down and that also implies that like year on year comparisons have not been that fair. So the fact that you're having too much growth right now, is that a concern in your mind in anyway and should that bring concerns of cyclicality back into the industry.
Martin Anstice: Yeah. In my opinion, no. I mean I might be wrong, but I think that there has been a fundamental transition in the industry as the supply chain is matured and as there's been concentration in the semiconductor industry. The traditional history of the industry was an over investment for many players and then a contraction. I think that's kind of long gone by virtue of scale and scope of the economics of the industry and the technical risks and opportunities to kind of go with it. But what is always still true is it's still difficult to predict and maybe increasingly so because there is no one kind of killer app or killer devices that diverse the demand drivers. It’s more difficult to predict for our customers and therefore for us. There is some variability of spending and one element of our focus on competitive differentiation is business model flexibility and it’s not actually that easy to ramp the capacity of your company by 40% to an average baseline of prior year. I mean that's a lot of hard work. The variability and flexible business model is a critical part of the success of the company and hopefully that will be a long term statement of value for our shareholders.
Farhan Ahmad: Thanks, Martin. And then one question on China. There's a lot of expectation around memory investment in China next year. The question I have for you is that from your perspective, has the visibility of memory projects changed for China for next and is that a part that you see for China memory investments next year without some foreign IP coming in to the picture.
Martin Anstice: Yeah. I think I'd probably say the same thing today that I've said for a while now and there clearly seems to be conviction to a plan that looks rational in terms of its kind of fundamental business objectives and your ability to execute as a byproduct of two things, knowing how to make the devices you want to sell and then having the operational scale to pull it off and whether that comes from M&A or IP licensing or just the developments of organic know how, I think we will see over time as best we can tell, we still believe that the China memory investment conversation is more a calendar ’18 story than calendar ’17 story and just to give you a little bit more color on the calendar ’18 kind of holistically, we're tracking about 10 new fabs next year and to our understanding of the investment plans in those fabs, more than 80% of the wafer start additions will be not in China. So that's another data point that hopefully allows you to triangulate a little more.
Operator: We’ll take our next question from C.J. Muse of Evercore. Please go ahead.
C.J. Muse: Yeah. Good afternoon. Thank you for taking my question. I guess first question, on the fact you’ve talked about service running at around 20% of revenues. As you clearly increased your installed base over the last couple of years, curious, has that increased and/or when could we see an acceleration for that part of your business?
Martin Anstice: Well, I think whether it’s accelerating enough, I'll let you decide. But at least for the last couple of years, we've had a pretty intense focus on broadening our work I would say to a customer. So advanced services agenda and a creative use of software, really employing strategies around machine learning and harnessing the data from the information that's available to us and to our customers in ways that create value, whether it’s productivity oriented or extendibility oriented, there's a number of very meaningful projects. The business has been growing faster than the pace of the installed base and it continues to do so this year. And I would say we would expect the momentum in kind of the ’18 to be stronger than ’17 on that point. But it takes some time right and you develop new products and services, there's no magic depending on swing. It takes a number of years to really demonstrate and deliver the value and have the customer convicted that transition makes sense for them.
C.J. Muse: Very helpful. And just as a follow up, when you think about the back half and I'm not asking for shipment guide, but as you think about mix and I think the takeaway from some of your comments earlier is that deferred revenues should help revenues exchange shipment from Q4. Curious how we should be thinking about gross margin trajectory in the second half?
Doug Bettinger: C.J., the guidance I gave you as you think to margin percentages, even though we’re maybe not exactly on the financial model, we provided to you the margin percentages in the financial model are still good guideposts if you will in terms of how to model our business. So I’d encourage you to go back and have a look at what we shared with you in November there.
Operator: Our next question comes from Harlan Sur with JPMorgan. Please go ahead.
Harlan Sur: Good afternoon and solid job on the quarterly execution. On your view on better foundry and logic spend, of that incremental spending improvement, does it include a bottoming out of the number of customers relative to your prior view and is the incremental spend more leading edge 10 and 7 or more follow through on legacy 28 nanometer.
Martin Anstice: Most of the increment was ten at least compared and contrasted with our comments of the last earnings call and I don't know that our expectations for broadening are any different today than they were then. We expected there to be a number of customers making those investments and it's kind of playing out that way. Maybe one of the things I could have actually added earlier and maybe I’ll do it now, Harlan, is when we look at our first half, second half, we believe that the first half memory is stronger than the second half memory from a shipments point of view and logic foundry is stronger second half than first half. So that's our view of kind of wafer fabrication equipment spending balance in the first half, second half by segment.
Harlan Sur: Thanks for the insights there, Martin. And then on the strong memory shipment environment, what we're hearing probably the same thing you guys are is that DRAM and NAND suppliers are kind of hand to mouth right, in other words, the shipping whatever they can build even always in the seasonally weaker March quarter, so I guess my question is, are you sensing more urgency to drive accelerated node migrations Whether that 1X for DRAM or 64 layers for NAND, I’m just wondering if we're going to see a step up in node migration cadence just given the industry supply constraints.
Martin Anstice: Interesting question. I don't know if I would articulate a cadence message. I mean clearly there's a commitment to technology in conversions in memory and DRAM this year and that was a big part of the increments year-over-year from a spending and overall performance of the company. But I still don't think we're modeling any more than 25% of the installed base at the 1X node by the end of this year. So that’s a reference there and maybe there's a statement on cadence, but there's clearly momentum and ambition to 64 layer devices. But if you look at the installed base of 3D NAND capacity at the end of this year, there's still a pretty broad mix of 3D capacity, right. So not only is there the reality that approximately half of the NAND installed base is 3D capable, there is the dynamic that some proportion of that 3D capable device is 32 player device capable, some proportion is 48 and some proportion is 64. So there's a long way to go with the installed base and supply chain, independent of the demand story.
Operator: Our next question comes from Sidney Ho with Deutsche Bank. Please go ahead.
Sidney Ho: Hi. Thanks for taking my question. I have a few questions. First is, there are some concerns that the second derivative of the 3D NAND wafer additions has peaked. Clearly, you had opportunity to gain share going from 2D to 3D, as you address the biggest portion of the market, but let's say the number of 3D NAND wafer addition next year is exactly the same as this year in 2018. How should we think about your revenue opportunity to NAND and technology or help you do better than what you did this year.
Martin Anstice: I have no idea. I mean it’s such a precise question with due respect. I mean, the complexity of the customers’ roadmap and spending, there are so many moving parts on that. I mean the best I can give you is that you got to take your own position on how much legitimate demand there is for 3D nonvolatile memory. We're pretty optimistic, but you make your own call on that. Whatever the level of demand that there is, Lam Research is going to perform better than the average equipment company maybe by a long way and that's the message we've tried to convey in terms of the criticality of etch and deposition in the device manufacturing process flow and it's the message that we try to articulate relative to critical applications, market share etch and dep at the 90% level. And it's the message that we've tried to articulate in terms of market share generally from plaintiffs to 3D which is almost a double digit gain in market share. So whatever it is, Lam Research is going to be a company in the mix of equipment companies that will be on the kind of upper end of the scale of performance as long as we keep executing in the ways that we have demonstrated in the last several years. I apologize I can’t answer directly your question, but hopefully that context is helpful.
Sidney Ho: That's super helpful. Maybe switching to foundry and logic, in the past, you talked about yours and maybe in the dep etch clean opportunity goes up a lot every node, I think just comment on your share gains in this segment, but at the same time, TSMC, again, this is probably not new, but last week, they talked about the capital intensity probably stayed within pretty stable range over next few years. Can you help us square those comments and when it’s going up a lot and when it’s kind of flattish?
Martin Anstice: Yeah. I mean, obviously, the comments from any one customer are going to be WFE comments and the comments have come from the company, from us or segment specific, right. So our story is generally as you articulated in the microprocessor space. I think we've conveyed now for a couple of years a very different reality of engagement with the customer than was true five years ago and as I already noted again by repeating the disclosure of the last earnings call, our market share momentum in foundry has also been positive through the 10 nanometer and 7 nanometer transitions and all of that is true and supplemented by the fact that through the 10 and 7 and 5 nanometer technology roadmap, the proportion of SAM in etch and deposition systematically increases with the adoption of EUV that’s I would say the consensus adoption assumptions and that's really a commentary on the progress that's been made in the economics of multi-patterning and it's a commentary on the insertion of EUR with a multi-patterning process flow and it's a commentary on probably 70% of multi-patterning integration schemes being spacer based. So there's a lot of kind of moving parts, but pretty positive story I think independent of the overarching statement that you've made and maybe one last point, logic and foundry are as invested as ever if not more so in utilizing their installed base and that will continue to be true for all of our customers.
Operator: The next question comes from Toshiya Hari with Goldman Sachs. Please go ahead.
Toshiya Hari: Hey, great. Thanks for taking the question and congrats on the results. Martin, I had a question on 2018. I realize we're early here, but –
Martin Anstice: We lost you.
Satya Kumar: Operator, are you there?
Operator: I am. We will move on to our next question. The next question comes from Atif Malik with Citi. Please go ahead.
Atif Malik: Hi. Thanks for taking my question and congratulations on good result and guide. Martin, you were a keynote speaker at SEMICON China in March, I Just wanted to know if you're confident in domestic Chinese spending based on discussions in China is higher about the same than what was three months ago.
Martin Anstice: It's about the same and I would say as a context, I'm a keynote speaker in SEMICON conferences all around the world. So I don't read too much into, I happened to show up in China. So we continue to believe there's substance to their ambition. We continue to believe they're working really hard and as is true for our customers globally, our job is to support as best we can and that's true for every customer wherever they are.
Atif Malik: Great. And then as a follow up, can you talk about the image sensor market? In your 37 billion plus WFE outlook, how big is the image sensor opportunity and what are the trends you're seeing in that market this year?
Martin Anstice: Yeah. I don't know Atif that we've quantified it specifically and I don't think we're going to today. What I would tell you directionally relative to last year is it’s stronger this year than it was last year, probably not as strong as it was the year before, but we're seeing nice momentum in image sensor and it's a very etch and deposition intensive process and our position is strong. Our share position is very strong. 
Operator: We’ll move on to our next question. Our next question comes from Weston Twigg with Pacific Crest Securities. Please go ahead.
Weston Twigg: Hi. Thanks for taking my question. First, just wanted to ask about DRAM. You said your outlook hasn't changed much for this year yet, but I'm just wondering as you look out in to 2018, big growth is pretty hard to come by, are you expecting some of that positive view on 2018 to come from DRAM capacity expansion in fabs?
Martin Anstice: We're not assuming much of anything in terms of increased wafer stocks I would say in DRAM just as a general modeling statement and I'd say that for 18 as much as they would ’17 and maybe even ’20. I mean I think our long term model is basically kind of flat lined wafer stocks in DRAM. The spending is all about technology conversion. Generally speaking, the demand statement is all about content more than units of any one device and there are some really interesting kind of demand opportunities for our customers and clearly there are some rumors I would say at various points in time around speculating of increased investments if and when our customers start articulating that, then obviously we're well positioned than we would participate naturally in that as strongly as we have in our past.
Weston Twigg: Okay. That's helpful. And then secondarily, just looking ahead on 3D NAND scaling, you’ve talked about having good positions through 64 layer and trying to get good positioning for the 96 layer process, but just wondering if you're seeing a continued push for increased layer height from customers or if they’re finding the scaling challenges are limiting then, you'll see them sort of double up on string stacking doublings layers of 64 or 48 for example.
Martin Anstice: Yeah. I mean I think the industry is at a still and customers specifically are still working through the answers to those questions. From a traditional scaling point of view, vertical scaling point of view, I mean we have customer engagements that extend beyond the 96 layer. So we’re actively working with customers of that layer count in its element environment and as is true, if a customer can continue the same integration scheme and same equipment selection and the same materials, they’ll work really hard to do that. So I think if the solutions that exist technically work for people from a productivity point of view, then it's much more likely to be a continuation of the same trend. But the industry is just beginning its transition to 64 layer device architecture and there's a lot of learning ahead of the industry. So I see both scenarios potentially playing out with an overwhelming bias to stay with vertical scaling as an architectural choice just because it's the lowest risk path normally.
Operator: And we have another question from Toshiya Hari with Goldman Sachs. Please go ahead.
Toshiya Hari: Yeah. Thanks. Hopefully, I don't get cut off this time. Martin, I had a question on 2018. I realize we're early here, but when you think about the multiple growth opportunities you're exposed to, what are you most excited about into 2018 and on the flip side, what do you worry about the most?
Martin Anstice: I'm really excited about where the electronics industry is generally. I mean, from my perspective, I don't know that in my 16 years of this industry and this company, I'd be more excited by the diversity of kind of innovation and opportunity for the silicon roadmap. I think it's just tremendous time. And if you're investing consistent with that opportunity, you've got a nice future ahead if you can kind of keep executing and solving very complex technical problems. So I'm really excited and that's a very holistic statement on some pretty compelling diverse -- device diverse application technology drivers that are relevant to cloud and enterprise and mass storage agendas as well as the advanced computation agenda that is necessary to really harness the value out of a connected world. So I mean that's the excitement for me. None of that can happen without a silicon roadmap. So that's pretty cool. What am I most worried about? I am not worried about that much if I'm honest with you in the long term. I mean you've got to keep executing and this is a hard industry. We have to work really hard to do what we do. So our focus and our intensity around operational execution is something that takes a lot of hard work. The macro is an unknown and uncontrollable and hence the focus on flexibility and variability in our business model and the technical challenges don't get easier, but I feel like the technical depth of our company is one of our strengths. 
Toshiya Hari: Okay. Great. And then I had a follow up on the logic business. I was a little bit surprised how low system shipments were in Q1 or the March quarter. In the past, you’ve talked about the CMOS image sensor business potentially picking up off of a low base in 2016 and you've also talked about some market share or potential market share gains in the microprocessor space going forward. So when should we expect the logic segment of your business to pick up meaningfully from a shipment and revenue perspective? Thank you.
Doug Bettinger: I’ll give you a comment, Toshiya. I think March is probably the low point in terms of what the calendar year looks like from a system shipment standpoint in the logic and other, it’s going to strengthen through the back half of the year.
Operator: Our next question comes from Joe Moore with Morgan Stanley. Please go ahead.
Joe Moore: Great. Thank you. In terms of NAND, I think you're talking about little bit of a higher percentage of wafers on 3D at year end. I think you said 700,000 before and now saying a little over half, which I think is north of 750. Is that incremental supply do you think or am I being too literal about that or is that sort of more conversion from plaintiff to 3D?
Martin Anstice: Actually, on the fly, I don't know that I know that there's a particular bias one way or the other. It was and continues to be at least in terms of wafer starts to pretty balanced year between kind of new greenfields and the conversion, maybe slightly more conversion, but it is pretty balanced. And certainly our expectations at the end of calendar ’17 for shipped capacity in active qualification mode kind of similar to the level that’s going into the year. So no real story in terms of supply and demand imbalance.
Joe Moore: Okay. And then where do you see the end point on that mix. You have these fully depreciated planar fabs, do you think there's a long tail on that capacity or will you see conversion to either 3D or to DRAM over time?
Martin Anstice: Yeah. I mean, the customers obviously are most qualified to answer that question. As best as I can tell, there was an intended conversion of the majority of the installed base over a period that runs probably four years from now. And that's without kind of the conversation around the secular demand trends and what that means for kind of bid growth and so on and so forth. So I believe if we're sitting here in four years’ time, there will still be some planar installed base, but it will be a minority.
Doug Bettinger: Will be very small, Joe.
Operator: Our next question comes from Romit Shaw with Nomura Investment.
Romit Shaw: Yes. Thank you. Doug, I heard you just refer others back to the financial model from November. But back then, you had a basically a 2019, 2020 target of 26% operating margin on like 8.5 billion to 9.3 billion in revenue and this quarter, it looks like you're going to be run rating at the high end of that range and operating margin is going to come in per guidance at about 27%. So with all due respect, the model does feel a little bit stale and I guess my question is if we're to assume that LAM can get to 10 billion annualized at some point in the future, how do we think about operating margin?
Doug Bettinger: Yeah. Romit with all due respect, 27 and 26 isn’t wildly different. So me guiding you back the model is a place that you ought to gravitate towards. I don't have a model out there that's a $10 billion model, Romit, but if there was one, it probably would be better profitability than the $9 billion model. There is leverage in the model. You've seen it from us as we've grown and I would expect that you would continue to see it if we were to grow beyond the high end of what I have out there right now.
Romit Shaw: Okay. The other question I had was just on the decision to do an accelerated buyback, just given the strong share performance and the potential for repatriation, can you guys just talk a little bit about timing here?
Doug Bettinger: When we announced the buyback, it was $1 billion program, $1 billion buyback over a 12 to 18 month timeframe. As we executed through it, I felt like getting into the June quarter, we needed to step up the pace a little bit to execute to what we said we're going to do and that's what we're doing and why we're doing a little bit more in June. And yet Romit, I wish I'd done it a quarter ago when the share price was lower, but hindsight's always 2020 with stuff like that.
Operator: We’ll take our next question from Mehdi Hosseini with SIG. Please go ahead.
Mehdi Hosseini: Yes. Most of the questions have been asked. I have two follow ups. Going back to your Analyst Day presentation, specifically on 3D NAND, you were saying that the 96 layer 3D NAND should start being investment for 96 layer 3D NAND should start sometime in late 2018 early 2019. Should we expect another round of bakeoff for that particular node? And if that's the case, is that going to happen early ’18 and I have a follow up?
Martin Anstice: Well I think the reality of frankly the entire industry, not just NAND is, if a customer can keep doing what they're doing which is a commentary on materials and device architecture and process flow and equipment selection, they have every interest to do that because that's where the learning is and these are hard problems and challenges. So that tends to, not that any one of us are isolated from the competitive realities of life. But once you have high volume manufacturing positions and you have a learning that other people do not, your positions are generally very strong. So there is nothing extraordinary about the 96 layer structure in terms of how the customer will sink through and select equipments and we have the strongest high volume manufacturing position in the segments of our industry. So it doesn't mean we don’t have to work hard, because we do. But we feel confident about the future of the company and the trajectory of our performance we've described to you.
Mehdi Hosseini: And a quick follow-up for Doug, you have above $18 net cash per share, how much of that is onshore versus offshore and what are your plans for the cash that is offshore in case there's no change to taxation?
Doug Bettinger: Mehdi, we finished last quarter, I think it was probably about -- maybe a little bit about 30% onshore, so about 70% offshore. Whole question around tax reform and when or if or what have you obviously is very topical and feels like every day, it's a little bit different. We're very much taking a wait and see approach, now whether or not to be any tax reform, there's a variety of different ways you navigate through that. But I'm more encouraged today than ever that we're actually going to get something done.
Operator: That concludes our question-and-answer session for today. Mr. Kumar, I turn the conference back over to you for any additional or closing remarks.
Satya Kumar: Yes. Thank you all for joining us and that concludes the conference call.